Operator: Thank you for standing by, and welcome to StepStone Group's Fiscal Fourth Quarter 2024 Earnings Conference Call. At this time all participants are on a listen-only mode. After the speaker's presentations, there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the call over to, Seth Weiss, Head of Investor Relations. Please go ahead.
Seth Weiss: Thank you and good afternoon. Joining me on today's call are Scott Hart, Chief Executive Officer; Jason Ment, President and Co-Chief Operating Officer; Mike McCabe, Head of Strategy; and David Park, Chief Financial Officer. During our prepared remarks, we will be referring to a presentation, which is available on our Investor Relations website at shareholders.stepstonegroup.com. Before we begin, I'd like to remind everyone that this conference call as well as the presentation contains certain forward-looking statements regarding the Company's expected operating and financial performance for future periods. Forward-looking statements reflect management's current plans, estimates and expectations and are inherently uncertain and are subject to various risks, uncertainties and assumptions. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements, due to changes in circumstances or a number of risks or other factors that are described in the Risk Factors section of StepStone's periodic filings. These forward-looking statements are made only as of today and except as required, we undertake no obligation to update or revise any of them. Today's presentation contains references to non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are included in our earnings release, our presentation and our filing with the SEC. Turning to our financial results for the fourth quarter of fiscal 2024. Beginning with Slide 3, we reported GAAP net income of $82.5 million, GAAP net income attributable to StepStone Group Incorporated was $30.8 million or $0.48 per share. Moving to Slide 5, we generated fee-related earnings of $50.9 million, up 35% from the prior year quarter, and we generated an FRE margin of 33%. The quarter reflected retroactive fees primarily from an interim closing of StepStone's Private Equity Secondaries Fund. Retroactive fees contributed $5.4 million to revenue, which compares to retroactive fees of $0.5 million in the fourth quarter of fiscal 2023. Finally, we earned $37.7 million in adjusted net income for the quarter or $0.33 per share. This is up from $27.1 million or $0.24 per share in the fourth fiscal quarter of last year, driven primarily by higher fee related earnings. I'll now hand the call over to Scott.
Scott Hart: Thanks, Seth. We finished our fiscal year on a high note. Earnings, fundraising and fee earning asset growth accelerated in the back half of the year, generating strong results and setting us up for continued success. As we enter our new fiscal year, StepStone is facing a much better market environment, compared to the backdrop from 12 months ago. At that time, declines in public asset prices and cyclically low levels of investment realizations put pressure on some of our clients' near-term appetite for private market commitments. We expressed caution for more difficult fundraising conditions, but we characterized the impact as largely timing related. Our investment performance was solid and underlying demand for our solutions remained strong. But at that time, there was simply less urgency for our LPs to commit capital. This led to extended re-up discussions for our managed accounts and longer fundraising cycles for our commingled funds. Even against that backdrop, we delivered strong financial performance in fiscal 2024 and solid growth in our key performance indicators, which underscores the resilience of our business. Fast forward to today, the sentiment has shifted markedly. Public markets are at or near all-time highs. And despite a higher-for-longer interest rate environment, expectations are that M&A activity will return to more normal levels. The improved sentiment is already translating to our results. In our fiscal fourth quarter, we generated gross new commitments of $6 billion, matching the very strong fundraising result from our third quarter. We have raised nearly $4 billion in managed accounts and we raised over $2 billion in commingled funds. Included in that figure are over $600 million in private wealth subscriptions, which is far and away our best quarter in the private wealth channel. The continued acceleration in private wealth is broad-based, with record subscriptions for each individual product and record gross inflows in both the U.S. and abroad. As a reminder, we currently have three private wealth funds in market, SPRIM, SPRING and STRUCTURE, with a collective net asset value of $3.4 billion and we anticipate executing the first close of our private wealth credit product, CredEx, this coming quarter. For the full year, we raised $18.6 billion of new AUM commitments across the firm, which is a strong result for any year. Perhaps as encouraging as the strong nominal level of fundraising is the progression of those inflows. We doubled our pace of fundraising in the second half of the year and we see strong momentum continuing. The pipeline in managed accounts remains very strong for both new and existing clients, and we have several large commingled funds in the market across our asset classes. Of note, after the end of the quarter, we closed on an additional $800 million in our venture capital secondaries fund, which takes the fund size to approximately $3.3 billion, or 25% bigger than our previous venture secondaries fund. We anticipate a small final close of this fund in the coming weeks. Moving to Slide 8. Last year, we hosted our first Investor Day and set goals to at least double our fee related earnings over the next five years and expand our FRE margins to the mid-30s. We'd like to take a moment to measure our progress since Investor Day. While the path to those targets may not be linear, we believe we are off to a very strong start despite what was a difficult backdrop when we articulated these goals. In the last year, we have grown our fee earning AUM by 10%, we've grown fee related earnings by over 20%, and we've expanded our FRE margins by over 100 basis points. Importantly, we've also grown our undeployed fee earning capital, or UFEC, to more than $22 billion, our highest level ever, driven in large part by the $12 billion of gross AUM additions over the last six months. Included in the March 31st UFEC balance are commitments from our venture capital secondaries fund. We activated this fund after the end of the quarter, which will result in an approximate $3.3 billion addition to our fearing AUM in our first fiscal quarter. Additionally, we are optimistic about our prospect for continued growth in the coming fiscal year, given the pipeline of managed account re-ups, our expectation for ongoing commingled fundraisers and continued progress in the private wealth channel. Furthermore, we broadened our fund platform with the introduction of new commingled funds, including our infrastructure co-investment fund and our infrastructure secondaries fund and with the launch of new private wealth funds, including Structure and CredEx. Strategically, as discussed last quarter, we entered into an agreement to buy in the non-controlling interest of our infrastructure, private debt and real estate businesses over the coming years. The buy-ins will lead to a simpler ownership model and are being executed on an accretive basis. The first exchange is effective as of April 1st, with an anticipated closing by the end of June. We also executed on the sale of Greenspring Back Office Solutions, the fund administration entity that formed part of our acquisition of Greenspring, and we believe this will result in net savings and improved efficiency. All this gives us a clear line of sight for even stronger growth in our operating earnings and KPIs in fiscal 2025. I'll now turn the call over to Mike, who will speak to our growth in the quarter and our plans for upcoming dividend distributions.
Mike McCabe: Thanks, Scott. Turning to Slide 9. We generated over $18 billion of gross AUM inflows during the last 12 months with over $11 billion coming from our separately managed accounts and over $7 billion coming from our commingled funds. In the fourth quarter, our commingled fund additions included $350 million at our PE secondaries fund and approximately $900 million in our venture capital secondaries fund. Our PE Secondaries Fund has now raised over $3 billion, which is well above the level of the prior vintage. And as Scott mentioned, our venture capital secondary fund has closed on approximately $3.3 billion which includes more than $800 million raised after the end of the fiscal year. Slide 10 shows our fee earning AUM by structure and asset class. For the quarter, we grew fee earning assets by $4.4 billion, split evenly between managed accounts and comingled funds. This quarter's fee earning AUM growth benefited from $900 million of capital that came up fee holiday in our real estate secondaries fund. We continue to increase our undeployed fee earning capital, which represents funds that are contractually committed but are not yet earning fees. Our UFEC balance now sits at a record $22.6 billion. The combination of our fee earning AUM and UFEC is the best representation of our future earnings power and now stands at over $116 billion, up 5% sequentially and up 15% year-over-year. Slide 11 shows the evolution of our management and advisory fees. We generated a blended management fee rate of 59 basis points for this fiscal year, higher than the 54 basis points from the prior year as we benefited from a higher fee rate from our private wealth offerings as well as retroactive fees. We generated $5.09 per share in management advisory fees over the last 12 months, representing an annual growth rate of 21% since fiscal year 2019. Now before handing the call to David, I'm pleased to announce that, the Board of Directors declared a supplemental cash dividend of $0.15 per share. This is on top of our normal $0.21 per share quarterly cash dividend. As a reminder, we initiated a supplemental dividend last year, which we intend to pay out annually, each June subject to Board approval. Our supplemental dividend allows StepStone to take advantage of our capital-efficient business model and maximize distributions to our shareholders in a transparent manner. We plan to grow our base dividend generally in line with fee related earnings, while our supplemental dividend will be driven by net realized performance fees subject to any discretionary capital uses. Since the supplemental dividend is largely a function of performance fees, this year's dividend likely represents a cyclical low. When combined with our quarterly dividend, StepStone's payout would have yielded investors 3.5% for the year using an average share price over the last 12 months. We expect future supplemental dividends to increase as capital market activity normalizes and net realized performance fees improve. We think this is compelling value for our company with our resilient earnings and strong growth profile, and we would expect our total dividend distributions to grow over time. I'll now turn the call over to David.
David Park: Thanks, Mike. I'd like to turn your attention to Slide 13 to speak to our financial highlights. For the quarter, we earned management and advisory fees of $154 million, up 16% from the prior year quarter. The increase was driven by growth in fee earning AUM across commercial structures as well as a favorable impact from retroactive fees and a higher blended fee rate. Fee related earnings were $51 million for the quarter, up 35% from a year ago. We generated an FRE margin of 33% for the quarter, up 460 basis points versus the prior year quarter. Normalizing out retroactive fees, core FRE margins expanded approximately 300 basis points. Moving to expenses. Cash-based compensation was $74 million, up 1% from last quarter and up 7% from the prior year. In the current period, we benefited from an adjustment to our cash bonus accrual in connection with a shift to our annual compensation cycle, which we have moved from a calendar year to align with our fiscal year. This means that, going forward, merit increases will take effect on April 1st rather than January 1st. We have already adjusted base salary levels for calendar 2024, but the seasonal increase in bonus accruals will take effect in the first fiscal quarter of 2025. Quarter-on-quarter, compensation tied to business development revenue sharing was down slightly as retroactive fees were slightly lower. Equity based compensation expense grew to $1.7 million from $1.4 million in the prior quarter. The increase reflects the layering of the third year's issuance of RSU awards in February 2024. As a reminder, our RSU awards vest over four years, so you should expect to see a slight uptick in the first fiscal quarter of 2025 to approximately $2.3 million to account for a full quarter's worth of expense. General and administrative expenses were $27.2 million, up $2.7 million from a year ago and up $0.4 million sequentially. Gross realized performance fees were $24 million for the quarter, up from last year's $20 million level, but down from $33 million in the prior quarter, which benefited from positive seasonal incentive fees. Net performance fees were $12 million after accounting for performance fee related compensation. Our tax rate reflected in adjusted net income was 22.3% for both the quarter and full fiscal year. We anticipate a similar 22.3% tax rate for fiscal 2025. Moving to Slide 14, management and advisory fees per share grew 17% for the full year and by an annual growth rate of 21% over the long-term period since fiscal 2019. Gross realized performance fees per share were down 46% for the full year and up by an annual growth rate of 11% over the long-term period. Adjusted revenue per share was up 3% for the full year as growth in management and advisory fees more than offset the decline in performance fees. Over the long-term period, adjusted revenue per share is up by an annual growth rate of 20%. Shifting to profitability on Slide 15. We grew FRE per share by 21% for the full year. The increase was primarily driven by growth in management and advisory fees. Looking over the longer-term, we have generated an annual growth rate in FRE per share of 29%. Full year ANI per share is down 2% relative to the prior year, driven by lower performance fees, but it has grown at an annual rate of 24% over the long-term period. As Scott mentioned, our first acquisition of the non-controlling interest of the infrastructure, private debt and real estate businesses has taken place effective April 1st and is expected to close by the end of June. We expect to issue 2.8 million shares plus use a small amount of cash in exchange for 10% of the outstanding equity interest in each of these businesses that we do not already own. As a reminder, we have hardwired these exchanges to be accretive to earnings, so the acquired earnings purchased at a discount to StepStone's price to earnings multiple should more than offset the impact in the issued shares. Moving to key items on the balance sheet on Slide 16. Net accrued carry finished the quarter at $635 million, up 12% from last quarter, driven primarily by underlying fund valuation appreciation. As a reminder, our accrued carry balance is reported on a one quarter lag. Our own investment portfolio ended the quarter at $205 million. Unfunded commitments to our investment programs were $116 million as of quarter end. As of March 31st, we had over $75 billion of performance fee eligible capital, which is widely diversified across multiple vintage years in over 200 programs. 74% of our net unrealized carry is tied to programs with vintages of 2018 or earlier, which means that, these programs are largely out of their investment periods and in harvest mode. Of this amount, 56% is sourced from vehicles with deal-by-deal waterfalls, meaning realized carry may be payable at the time of investment exit. This concludes our prepared remarks. I'll now turn it back over to the operator to open line for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Ben Budish of Barclays.
Nick Benoit: This is Nick Benoit on the call for Ben today. I want to dig a little bit deeper into the private wealth platform, as the inflows period picked up nicely, Q-over-Q. Maybe like dive into a bit more of the mix shift of growth. Are you seeing inflows primarily driven by increasing the distribution RIA channel? Or are you seeing more so strength in client re-ups and client retention?
Jason Ment: Hey, Nick. Jason here. Thanks for the question. In terms of the flows, it's been broad-based across the different channels. As a reminder, we kind of think about this in four different buckets, the RIA channel in the U.S., the broker dealer channel in the U.S., the wire houses in the U.S., and then non-U.S. wealth as a fourth pillar. Flows across all four have been strong. Flows across all three funds currently in market have been strong, redemption have been low across all the products. And so, we feel right now that, everything is firing pretty well.
Nick Benoit: Got it. And one has to follow up for Scott. In the prepared remarks, you seem very positive in the outlook for fundraising across both, commingled and SMAs. Maybe I want to dive a little bit deeper into about the cross-selling opportunities between LPs. Maybe where are you seeing the most conversions across funds and asset classes? And maybe how are you kind of strategically thinking, and where is the investments being made in terms of putting more LPs into more step zone funds? Thanks.
Scott Hart: Sure. Thanks for the question. And you certainly get the sense from our comments as well as our results that, we've seen a recovery in the fundraising market, although I don't want to necessarily suggest that, it is a universally strong fundraising market. I think it's one that you'd often hear us characterize as being bifurcated between, so the haves and the have not. The haves meaning if you've got a strategy, a track record and a supportive LP base. You can certainly get successful fundraising done. If you don't have those things, it's still a challenging environment. Fortunately for us, we do have many of those things, a well-diversified platform across asset classes and strategies. With our secondary strategies in particular, you are making significant progress. Our private wealth strategies, as you just heard from Jason, making significant progress. But as we commented on as well, in a separate account area, we continue to see a strong pipeline of both new and existing clients. If I look back over the last quarter or last year, it's probably been somewhere in the range of 20% to 25% of the AUM flows coming from new clients with the remainder coming from either re-ups or expansion of client relationships. If I look at where some of that the activity has been concentrated from a geographic standpoint, it actually falls roughly in line with our current business mix, call it, 35% or so North America with the remainder fairly balanced across the Middle East, Europe, Asia and Australia. And then from an asset class standpoint, if you look at the last quarter or the last 12 months on the separate accounts side, real estate and private equity have probably led the way whereas if I look forward a bit, I think we're seeing quite a bit of activity across our private equity infrastructure and private credit asset classes. I know a lot there in the response, but I think the good news is, there's a meaningful amount of activity across all parts of the business today.
Operator: Thank you. Our next question comes from the line of Michael Cyprys of Morgan Stanley.
Michael Cyprys: Hi. Good afternoon. Thanks for taking the question. I wanted to dig in on private wealth. I was hoping maybe you could elaborate on how you are viewing the product pipeline, looking out over the next couple of years? I know you mentioned the credit product that's on its way. And then more broadly, if you could just maybe update us on the product placements for the three existing products in the market just in terms of how well distributed and placed are those products for the platforms and how do you see that evolving, as you look out over the next 12 months?
Jason Ment: Thanks, Mike. Jason here. In terms of the product pipeline, I don't think we are in a position to announce another product beyond the CredEx presently. I think the same principles that I talked about before will guide any future product development, as it relates to the retail channel. And so, that's going to be one where we believe that StepStone has something to offer, both because of our in-house expertise and investment strategies, but also one where the multi-manager model makes sense. And so, these four product families for now, but certainly stay tuned and we'll continue to think about those areas where it may make sense in the future. In terms of the distribution syndicate for the existing funds, SPRIM is on two wires in the U.S. both allocating now in addition to the IBD channel and high single 100 numbers of RIA. The non-U.S. distribution is, we're spending quite a bit of time trying to build that syndicate now that the U.S. syndicate we believe is relatively mature for SPRIM. As we look at SPRING, we're on one wire in addition to probably about half the number of channels as we are with SPRIM. That syndicate will continue to get built out in the U.S. and abroad probably in parallel with the SPRIM distribution structure. The Infrastructure Fund is not on a wire currently and is on probably half of the platforms or so that maybe even a bit less than half of the ones that SPRING is on currently. Each is kind of following a pretty similar gestation. And if I look at, I think more importantly than the number of platforms or which platforms they're on, if I look at the fundraising trajectory kind of going back to zero day on each of the funds, which is probably the way we think about it most often, each of SPRING and STRUX are equal or ahead to where SPRIM was at a similar point in time. We feel good about that for sure.
Michael Cyprys: Great. Thanks. Just a follow-up question on the FRE margin. Just curious how you're seeing the path here on the margin profile in fiscal '25 compared to I think it was around 32% or so, that you put up in fiscal '24. Just any sort of thoughts around any sort of intra-quarter, intra-year volatility and anything on the retroactive fees that we should be keeping in mind over the next couple of quarters?
David Park: Sure. This is David. As you know, in any given quarter, you are going to see variability in our margins just due to retroactive fees and timing of expenses. I guide you to look at our full year margins. We feel pretty good about the trajectory of our margins and reaching the mid-30s in the medium-term. For fiscal 2025, we would expect to see continued margin improvement, generally in line with what we saw in fiscal 2024.
Michael Cyprys: Great. Mike, anything on the retro fees?
Mike McCabe: And so, retroactive fees, as you know, we do have continued fundraising going on with our communal funds. We have our PE secondaries fund, real estate secondaries fund, growth equity fund and infrastructure co-investment fund that's in fundraising today. As we have subsequent closes, you should expect to see retroactive fees.
Operator: Thank you. Our next question comes from the line of Kenneth Worthington of JPMorgan.
Alex Bernstein: Hi. This is Alex Bernstein on for Ken. Thanks so much for taking the question and congratulations on the strong results. As you mentioned, the exchange transactions are due take effect for the first time this June. I know you mentioned that, they're expected to be accretive both when speaking now and when you first announced them. Are there any other details you could provide on the level of accretions? That's the first part of my question. And sticking with the theme, we noticed that you owned 49% to 50% of most of these non-PE platforms. Now as you cross over that 50% control mark, do you expect any changes that you can or would enact to how these businesses operate? And similarly, to that point, looking at the growth rate trajectory, noticed that, obviously different growth rates for all of them, noticed that, credit perhaps grew a bit slower than I would have thought, relative to some of the other platforms just given the robust environment for credit. Appreciate that, there was not private wealth product for credits and that would one being in there, I would expect some of that gets dealt with naturally. But just curious, as you're looking to the outlook for all three of them in terms of the growth, do you expect to shift investment across the platforms now that you are going to be owning a control stake in all of them? Thank you.
Scott Hart: Sure. Alex, thanks for the questions there. Maybe I'll take a crack at each of them, but ask one of David or Mike to chime in if there's anything I missed as I just try to address really the three questions; one around accretion; two around flipping from 49% to greater than 50% ownership; and then third on sort of mix shift in the growth in private credit. On the accretion, there really isn't probably much more that we can add today. We guided towards quite modest accretion, but because of the structure of the transaction, buying at a discount to our prevailing multiple and with the true-up, if one of the asset classes were to outperform or underperform, it’s a lock-in the fact that these will be accretive transactions over time. And the more meaningful impact from accretion standpoint is, as you look at these exchanges on more of a cumulative basis overtime. But any individual exchange including this first one will only be very modestly accretive. Look, in terms of going above 49% or above 50% ownership, no real change in terms of how we would plan to operate the businesses here. We've been working very closely with each of our asset class teams and the leaders of those businesses for many years now. And so, we really think about this as maybe the lowest risk pipeline of accretive M&A opportunities that we could really think about pursuing here. We work closely with these teams. Each of the asset class heads continues to serve on the Executive Committee for the broader StepStone platform, and it won't be you know until later in the game as we move towards much more significant ownership that much would potentially change. But again, we look at these businesses as having operated successfully within StepStone for many years now, at this point. On the credit side just in terms of some of the growth, I mean, we continue to see good activity across our SMA business and some of that kind of continues to be in the pipeline. I kind of referenced the strong activity we're seeing in each of private equity infrastructure and private credit today. I'd say, there are certain geographies in particular where we are seeing strong interest areas like Asia and the Middle East and we continue to make progress there. And then, obviously, Jason just spent a couple of minutes talking about the private wealth opportunity. Clearly, there has been much time and attention focused on the preparations for the product launch there, which we think will be an important driver going forward here. Look, in terms of how the mix of the asset class evolves over time, that's obviously going to be a function of the relative growth rates. I think the good news, if you look at the history of StepStone since we've been publicly traded, there have been different asset classes driving the growth during different periods of time. As I referenced earlier, coming off a period where real estate has been a big contributor as has private equity, I think as we look ahead, seeing good opportunities in areas like private credit and infrastructure as well.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Adam Beatty of UBS.
Adam Beatty: Thank you and good afternoon. Wanted to dig into the separate account flows a little bit. It obviously a very strong quarter, so that's good. It seems like maybe the trough there was a little bit more recent than in the coming of funds. Just given what you know now, the discussions that you're having and the outlook, I was wondering how we might think about the trajectory of those flows for the next few quarters, next fiscal year? Thank you.
Scott Hart: Thanks, Adam. On the SMA flows, and maybe I'll break it into the gross AUM flows as well as the fee-earning AUM flows as well here. But starting with the gross AUM flows, again, this most recent quarter was one that was driven by a combination of real estate and private equity in particular. There was a very healthy mix of not only existing clients but new SMA clients. If you think back to the COVID time period that was really one of the challenges was developing new separate accounts. When we think about 20%, 25% of the AUM flows, they're coming from new clients. We think that is quite healthy and starts to feed the pipeline of clients that can then re-up or expand with us over time. As we look out across the next few quarters, again these things tend to be somewhat episodic and can be a bit lumpy from quarter-to-quarter, but a very healthy pipeline of separate account opportunities with both new and existing clients across different strategies. Again, I would say, they're concentrated at the moment in the private equity infrastructure and private credit space when I look forward. From a geographic standpoint, looking forward, a lot of activity across different, in particular non-U.S. Geographies at the moment. If I think about and just to add on to that, the fee earning AUM flows, the one thing to add-on is just deployment activity. And you heard us talk about the $22.6 billion of undeployed fee earning capital. Of course, a portion of that is going to activate, as our venture secondaries fund has been activated. But we are seeing a slight pickup in new investment activity, which will help us to continue to deploy that capital over the same sort of three- to-five-year time period, that we've continued to point to over time here.
Adam Beatty: That's great. Thank you, Scott. You anticipated my question about deployment, so I'll just ask a little follow-up. Would you expect obviously very strong, good growth there. Would you expect the proportion of undeployed fee AUM to kind of normalize, as we look forward or will it continue to kind of be a bigger portion? Thank you.
Scott Hart: I think you've obviously seen over the roughly four years since we've been public that at times, it's increased at times, it has decreased. And so, we would generally hope that, over time you'd continue to see some modest growth in that number. But the way that we think about it is, how successfully we can deploy that capital over again a roughly three- to-five-year time period. When you look at the portion of the $22.6 billion that needs to be deployed, as opposed to activated, it's in the $20 billion range. If you were to look at how much quarterly deployment, we've had of our UFEC recently or in this quarter, for example, we had $2.2 billion of UFEC deployment and activation, about $900 million of that was driven by the real estate fund activation, so leaves you with about $1.3 billion of UFEC deployment. If you annualize that number, it's a bit over $5 billion from a run rate standpoint, despite the fact that deal flow has been starting to recover, but it's still somewhat depressed. But if you think about that over $5 billion of deployment and $20 billion of UFEC, it is still right in the range of a four-year deployment period smack in the middle of the three to five years we've historically talked about. That's how we kind of think about the health and the appropriate levels of undeployed fee earning capital.
Adam Beatty: Makes perfect sense. Thanks for the math there, Scott. Appreciate it.
Operator: Thank you. I would now like to turn the conference back to Scott Hart for closing remarks. Sir?
Scott Hart: Great. Thank you everyone for your time and attention. As you've certainly heard us talk about over the last several quarters, we had felt like we were laying the groundwork in setting ourselves up for strong growth. This year, we are excited to see much of that growth come through this quarter and the momentum continue here in the fiscal 2025. So, appreciate your time and attention and look forward to connecting again next quarter. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.